Operator: Good day and welcome to the Charles & Colvard Second Quarter and Fiscal Year 2018 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] This earnings call may contain forward-looking statements as defined in Section 27A of the Securities Act of 1933 as amended, including statements regarding, among other things, the company’s business strategy and growth strategy. Expressions which identify forward-looking statements speak only as of the date the statement is made. These forward-looking statements are based largely on our company’s expectations and are subject to a number of risks and uncertainties, some of which cannot be predicted or quantified and are beyond our control. Future developments and actual results could differ materially from those set forth in contemplated by or underlying the forward-looking statements. In light of these risks and uncertainties, there can be no assurance that the forward-looking information will prove to be accurate. This earnings call does not constitute an offer to purchase any securities nor a solicitation of a proxy, consent, authorization or agent designation with respect to the meeting of the company’s shareholders. Please note this event is being recorded. I would now like to turn the conference over to Suzanne Miglucci, President and Chief Executive Officer. Please go ahead.
Suzanne Miglucci: Good afternoon and thank you for joining us as we summarize Charles & Colvard’s results for the second quarter of 2018 and the 6-month transition period ended June 30, 2018. Accompanying today’s call is the supporting PowerPoint slide deck, which we will refer to during our formal remarks. This presentation file is available in the Investor Relations section of our website at ir.charlesandcolvard.com/events. Let’s begin our review of the results on Slide 4. As we continue our transformation to an e-commerce driven business, we are making steady progress on our strategic initiative to grow sales in our online channels segment. We generated a 49% increase in online channels sales in the second quarter of 2018 compared to Q2 2017. That represents 52% increase – or 52% of our total sales. Our transactional website charlesandcolvard.com led the charge with 83% growth over Q2 2017. An emerging driver of this growth is cross-border trade on our website. These transactions are booked as U.S. revenue, but the originations of the orders are from countries around the world, while still a small portion of the total revenue from charlesandcolvard.com, cross-border trade grew over 400% compared to the same quarter last year. Marketplaces also contributed significantly to our online channels growth with 182% growth over the second quarter of 2017. Amazon continues to be our leading marketplace channel with a 225% growth over the same period last year. Moving on to Slide 5, in our traditional segment, where we serve our wholesale customers, we saw a 31% decline in Q2 revenue compared to the same quarter last year. This decline was due to a single distributor who implemented a change to their inventory management practices. This one-time shift in their inventory holdings paused purchases, which have since resumed to normal levels. The resulting GAAP in our traditional segment was partially offset by significant growth in brick-and-mortar retail which was up 102% over Q2 last year. This performance was driven in part by success with Helzberg Diamonds stores where we have exposure in nearly all doors and continued to see meaningful growth. Let’s turn to production innovation on Slide 6. We continue to evolve our product line to attract a broad audience with a wide variety of gemstone and jewelry offerings. In Q2, we introduced 2 new gemstone cuts, elongated ovals and cushion hearts and arrows. We also expanded our fashion jewelry selections with a wide range of styles and price points to serve online and retail partners and our own transactional website included in this expansion with personalized jewelry to participate in this growing trend with millennial and Gen Z audiences. While bridal continues to be a primary category and is experiencing significant growth on charlesandcolvard.com, fashion revenue also is steadily growing with 36% growth over the second quarter last year. Fashion jewelry represents an easy entry point for new customers to adopt and fall in love with moissanite. In Q2, we introduced Moissanite by Charles & Colvard, a new branded line of creative moissanite gemstones, which are value-priced. Since moissanite went off patent 3 years ago, competitive products have entered the market. We are seeing varying clarity and a broad range of color grades in these competitive goods. In general, their lower standards of clarity and color are in turn driving down to a lower price point similar to the way a diamond’s lower clarity of color downgrades the gemstone’s price. Charles & Colvard’s Forever One continues to be our flagship product and it commands a premium price given what we believe to be its unrivaled clarity, color, cut and polish, but not all Charles & Colvard produced gemstones make the Forever One grade. Historically, if any one of our grading measures was not fully met during our manufacturing process, a gemstone was rejected until now. These near-perfect stones are now available as Moissanite buy Charles & Colvard. We can now compete directly with a lower grade moissanite that we are seeing in the market and we are able to compete on price and quality. We believe this will help us gain share of wallet from this price sensitive segment of the market and offer a new range of products that will attract new partner opportunities. Now, let’s turn to a discussion on sales on Slide 7. We launched a strategic partnership with Flont, a pioneer of jewelry as a service, which enables access to high-end designer jewelry through memberships and jewelry rentals. This service provides consumers an entirely new way to experience moissanite firsthand. We expanded our footprint with partner and jewelry e-commerce provider, Gemvara. We were previously a center stone option in Gemvara’s build your own jewelry tool and in Q2 expanded our presence with the availability of side stones. Gemvara serves a growing consumer base that wants to personalize and build jewelry to their preferred specifications. We are thrilled to be part of this growing trend and to have an expanded selection of gemstones with Gemvara. And lastly on the sales front, we are pleased to announce two new recent agreements. First, we signed a new retail partnership with Stein Mart, a national specialty off-price retailer offering designer and name brand fashion merchandise. They have an established customer base that’s both style conscious and value seeking with above average household income. Stein Mart will be carrying products online that feature Moissanite by Charles & Colvard, which enables us to provide this new consumer with both high-quality and competitively priced jewelry. Second, we signed an expanded partnership with Walmart. For the past year, we have had a third-party relationship with walmart.com through their marketplace functionality. This means that we could independently list our products to their website in order to garner sales from their vast audience. Now, however, based on sales trends and Walmart’s interest in the alignment between our product and their customer demographic, we signed a new first party agreement with Walmart. This provides a direct relationship between us and the retail giant. As part of this relationship, we enjoy the benefits of direct technology integration, the involvement of their buying staff for assortment curation, better product placement and inclusion in their onsite jewelry events and promotions. All of these partnerships are established and in effect for the 2018 holiday season. Turning to Slide 8, another key agreement we signed recently was the extension of our strategic partnership with Cree from whom we purchase its unique silicon carbide material that’s the basis for our gemstones. This favorable amendment to the supply agreement extends our longstanding relationship for 5 years with an option for an additional 2-year extension for a total of 7 years. Cree has patented a micro-pipe free process for producing silicon carbide that results in unparalleled clarity in our gemstones. We had exclusive rights to this high-quality material for gemstone production, which we believe gives us a competitive advantage over other gemstone producers around the world and enables the production of our premium moissanite product, Forever One. In addition, the agreement now allows Charles & Colvard to supplement its Cree supply with alternate materials that may enhance our non-Forever One product lines and create a lower blended cost of goods. This is a significant change to our terms. In summary, we are experiencing increased interest from direct-to-consumer channels, expanding online exposure and revenue through marketplaces and enjoying significant traction, including cross-border trade on our charlesandcolvard.com website. I’d now like to turn the call over to Clint Pete, our CFO, who will provide additional financial details. I will then return to close out the call with a discussion of our ongoing strategic initiatives. Clint?
Clint Pete: Thank you, Suzanne. Good afternoon, everyone and thank you for joining us. Today, we will review our results for both Q2 2018 and for the 6-month period from January 1 through June 30, 2018. We had shifted to a fiscal year ending June 30. We will be filing a 10-KT transition report with results for the 6-month period ended June 30, 2018. Our fiscal year 2019 began on July 1 and will run through June 30, 2019. Please turn to Slide 10. Net sales for the second quarter 2018 decreased 4% versus the year ago quarter. Net sales for the 6 months ended June 30, 2018 increased 7% versus the year ago period. I will review our quarter-over-quarter net sales results and then the 6 months ended June 30. Here is the breakdown. In the company’s online channel segment which consists of e-commerce outlets, including charlesandcolvard.com, marketplaces, drop ship and other pure-play exclusively e-commerce customers, net sales for the quarter increased 49% to $3.3 million or 52% of total net sales for the quarter compared with $2.3 million or 34% of total net sales in the year ago second quarter. In the company’s traditional segment which consist of wholesale and retail customers and historically included sales on television shopping networks, net sales for the quarter decreased 31% to $3.1 million or 48% of total net sales compared with $4.4 million or 66% of total net sales in the year ago second quarter. The decline in net sales was primarily due to single distributor that had a one-time shift in the inventory holding policies across their vendors. On a product line basis, finished jewelry net sales increased 54% to $2.9 million for the quarter. This increase continues to result from our direct-to-consumer strategy to drive finished jewelry sales across multiple geographies and channels. The company’s net sales of loose jewels decreased 27% to $3.5 million in Q2 primarily due to the previous mentioned distributors’ one-time shift in inventory holding policy. On Slide 11 is the breakdown of our 6-month net sales results. In the company’s online channel segment, net sales for the 6 months ended June 30, 2018 increased 45% to $6.4 million or 48% of total net sales for the 6-month period compared with $4.4 million or 36% of total net sales in the year ago period. In the company’s traditional segment, net sales for the 6 months ended June 30, 2018 decreased 14% to $6.8 million or 52% of total net sales compared with $7.9 million or 64% of total net sales in the year ago period. On a product line basis, finished jewelry net sales increased 70% to $6.2 million for the 6 months ended June 30, 2018. The company’s net sales of loose jewels decreased 19% to $7 million in the 6 months ended June 30, 2018. Moving on to Slide 12, in the second quarter 2018, our gross margin was 35% compared to 42% in the second quarter 2017. During the 6-month period ended June 30, 2018, our gross margin was 37% compared to 43% in the year ago period. This decline was mainly due to the intentional impact of higher levels of finished jewelry sales containing our legacy inventory gemstones and other inventory adjustments during the first 6 months of 2018. We have strategically focused on moving these older gemstones and jewelry pieces out of inventory through promotional programs, while still generating positive margins. While this legacy material strategy impacts our overall blended gross margin rate, it’s important to note that our product and segment margins have remained strong and consistent with our growth areas of Forever One and online channels. On Slide 13, for the second quarter 2018, our operating expenses were $3.2 million, essentially flat with those in the year ago quarter. Sales and marketing expenses in Q2 were $2 million compared to $1.8 million in the second quarter 2017, which was principally due to an increase in our digital marketing expenses aligned with the ongoing strategic expansion of our overall sales and marketing initiatives. G&A expenses in Q2 were $1.2 million, a decrease of approximately $173,000 compared with the year ago quarter. This decrease was principally due to a decrease in bank fees primarily related to our credit facility and credit card processing charges. Our operating expenses for the 6 months ended June 30, 2018 were $6.5 million compared to $6.2 million in the year ago period. Sales and marketing expenses in the 6 months ended June 30, 2018 was $3.9 million compared to $3.7 million in the year ago period. G&A expenses in the 6 months ended June 30, 2018 were $2.6 million, an increase of approximately $127,000 compared to the year ago period. On this chart, we also show operating expense as a percentage of net sales. While this ratio increased in the second quarter 2018, the trend line continues to reflect the scalability that we have built into our business. Slide 14, we reported a net loss for the second quarter of 2018 of approximately $698,000 or $0.03 a share. This compared to a net loss of approximately $403,000 or $0.02 a share in the year ago quarter. We reported a net loss for the 6 months ended June 30, 2018 of approximately $1.3 million or $0.06 per share. This compared to a net loss of approximately $962,000 or $0.05 a share in the year ago period. Our results for Q2 2018 as well as the 6 months ended June 30, 2018 were favorably impacted by the recognition of a federal income tax benefit in Q2 2018 of approximately $328,000. This benefit was related to the recognition of an expected refund of our AMP deferred tax credits resulting from the December 2017 Tax Cuts and Jobs Act. Slide 15 presents a snapshot of our balance sheet. We ended the second quarter of 2018 with $3.4 million of cash and cash equivalents compared to $4.6 million at the end of 2017. The company anticipates to invest a portion of this cash and marketing branding initiatives during the upcoming fiscal year. The company continues to have no long-term debt and has not access to funds through our credit facility. Total inventory at the end of the second quarter 2018 was $31.8 million compared to $31 million at the end of 2017. At the end of Q2, loose jewels inventory increased to $24.0 million from $22.1 million at the year end 2017 reflecting increased purchases of raw materials and higher levels of work-in-process inventories. Finished jewelry inventory decreased to $7.8 million compared to $8.8 million at the end of 2017. This trend reflects our success in selling finished jewelry with both our current higher margin Forever One gemstones and our legacy lower margin gemstones. On Slide 16, we provide in detail the classification of new versus legacy materials. At the end of the second quarter 2018, 70% of our inventory was classified as new. This leaves just $9.5 million or 30% of our inventory classified as legacy inventory at the end of the second quarter. Based on the carrying value of our inventory, this change in legacy inventory represents a 15% reduction from the amount of inventory classified as legacy at year end 2017 and a 33% reduction from the amount of inventory classified as legacy inventory at year end 2016. Before closing, I would like to highlight a couple of finance related and shareholder reporting matters for your information. In early July, we entered into a new $5 million asset based revolving credit facility with White Oak Commercial Finance. The annual borrowing fees associated with our new credit facility are lower than those with the previous credit arrangement with a commercial bank and moreover we believe the borrowing terms and covenants underlying our new credit facility are less restrictive than those under our previous arrangement. We feel our new credit facility will allow us to be more nimble with meeting working capital needs and executing our strategic plans. In addition to the 10-KT, we expect to file a proxy statement in early October in advance of our 2018 Annual Shareholders Meeting that will be held on November 8, 2018 at our headquarters in Research Triangle Park, North Carolina. I would like to now turn the call back over to Suzanne.
Suzanne Miglucci: Thank you, Clint. Recent activities in the lab-created space have drawn significant attention to our segment of the gemstone market. As you will see on Slide 18, there is an exciting buzz around lab-created gemstone. One of the largest site holders of diamond mines, De Beers, announced in June its intention to enter the lab-created diamond space with a line of fashion jewelry. There has been tremendous coverage of this strategic move as highlighted in some of these press announcements. We believe this decision by the company that for its storied history has downplayed lab-created stones as not the real thing is incredible affirmation for the lab-created industry and confirmation that the millennial consumer is driving demand for ethically-sourced gemstone options. For Charles & Colvard, we believe this is definitive validation of our business model and our value proposition. The primary difference for us is that moissanite is the most brilliant of all available gemstones. We believe this nod of approval from the diamond industry will drive consumer interest in lab-created gemstones and additional attention to moissanite. We are poised and ready. We are harnessing the momentum from this increasing awareness as we head into the holiday season. Here is an update on our four strategic initiatives. On Slide 19, under our strategic initiative to drive organic revenue growth in the U.S. and maintain attractive margins, we are implementing several enhancements to our charlesandcolvard.com website to ensure an optimal customer experience. Enhancements include upgraded onsite search, photography and video enhancements to our imagery, new payment methods, site speed improvements and more. These enhancements are currently rolling out and are anticipated to be live for the 2018 holiday season. Also in time for holiday, we are expanding our in-store brick-and-mortar programs to include expanded assortments with an emphasis on bridal, additional case space and loose gemstone offerings that we believe will drive additional sales for the period and we continue to judiciously apply our marketing spend on campaigns and digital advertising efforts that drive top of funnel awareness and conversions to sales. We have exciting near-term plans for continued expansion of our gemstone and jewelry offerings to serve a broad range of customers. We are in the process of rolling out new products across the fashion, fine jewelry and bridal categories that will enhance holiday options for all of our channel partners including our own website in the coming weeks. We expect to launch our very first jewelry collection, signature collection by Charles & Colvard. Watch for the release of this unique stunning line of product, along with the release of signature collection, we are retraining our attention to intellectual property. We produced a significant amount of unique property with our gemstones and jewelry and we believe we should establish ownership and derived value from our exclusive designs. In keeping, we have a patent pending on our signature collections and there is more to come. We are advancing our strategic initiative to target the global market opportunity through continue brand-building, focused channel expansion and world-class customer service. We intend to target the global opportunity in an agile and low-cost manner. With minimal digital marketing and brand exposure, we can leverage cross-border trade and marketplaces to test the waters in new international markets. With 84% of global e-commerce transactions predicted to originate outside of Europe and North America by the year 2020, we believe there is significant upside in the international market. To support the growing opportunity with cross-border trade, we are investing in our international customers’ website shopping experience to ensure a seamless experience from shopping to international shipping and returns. With our fourth initiative, we aim to balanced growth-oriented investments to generate sustainable earnings improvement. We will continue to focus on the development and application of technology to optimize our business. For example, we have recently implemented a new technology platform for e-mail marketing that amplifies our ability to segment and target our market and we are rolling out a new social media solution to optimize our social engagement and drive awareness of our brand. Our ability to identify and implement new technology has helped us support the tremendous growth with experience in our online channels and efficiencies we gained in our supply chain and operations. And finally, we plan to maintain financial flexibility and use data-driven business decisions to balance investments in future growth with convicted near-term financial performance. We are pleased with the terms of our new credit facility and believe it will assist us in being nimble and our reactions to market opportunities. We believe our team’s ability to execute on these strategic initiatives can drive further shareholder value. On Slide 20, we summarize the five key investment themes that we believe best capture the tremendous opportunity our company can leverage. Number one, by 2020, the global online fine and fashion jewelry market is expected to be in the range of $75 billion with an annual global market for lab-created gemstones of $8 billion. Number two, as the original pioneer of lab-created moissanite, Charles & Colvard provides an ethically sourced brilliant product with exceptional value and revolutionary value. Number three, our products appeal to socially conscious millennials and emerging Gen Zs, who represent nearly 50% of our current customers and are reaching prime jewelry buying age. Number four we have been delivering double-digit revenue growth of over 40% through our online channels, including charlesandcolvard.com and a range of marketplaces such as Amazon. And finally, number five, we believe we could execute a global growth strategy that’s flexible, scalable and requires minimal capital investment by driving cross-border trade sales on our website and accessing international online marketplaces. This concludes our prepared remarks. We would now like to open the call to take your questions. Gary, would you please poll for questions from our listening audience?
Operator: We will now begin the question-and-answer session. [Operator Instructions]
Suzanne Miglucci: While we are waiting for your questions to fill the queue, we did have one e-mailed question that we thought we would begin with. We were asked about the Cree agreement and how any changes to our terms might impact gross margin? The terms of our Cree agreement are a matter of public record and you can view those terms in the 8-K we have published in June of this year. What you will find is that certain of our terms have been redacted for confidentiality reasons. But that said, we can provide some high level color and for that I am going to pass it over to Clint.
Clint Pete: Thanks, Suzanne. As we have mentioned previously, the terms in the contract are favorable. As to gross margins, there will be no near-term impact, but long-term, we believe gross margins will be positively impacted as we blend the goods purchased under the new contract into our existing inventory in what impact positively our cost of goods sold.
Suzanne Miglucci: Okay. Gary, do we have any questions in the queue?
Operator: Yes. The first question comes from John Lawrence with Coker Palmer. Please go ahead.
John Lawrence: Good afternoon.
Suzanne Miglucci: Hey, there, John.
John Lawrence: Yes, just a couple of questions, Suzanne, on the retail partners with Walmart and Stein Mart, what can you tell us about the infrastructure to be able to make that happen – inventory requirements, what does it cost to get this sort of up and running? And just I guess what did they see and give us a little sense of how this development sort of has taken place over the last several months?
Suzanne Miglucci: Sure. John thanks for joining. We appreciate it and appreciate the questions. So, both of these retail agreements are for online channels with walmart.com and steinmart.com. Each of these organizations see an alignment between our product and their demographic, their customer. We are all trying to go after that millennial consumer. She is absolutely shopping online and she has a myriad of places she goes to find her goods, Stein Mart being one, Walmart being another. So we are thrilled to be on their marketplaces and on their websites to sell our goods. The good news here, this is very different than doing a retail type relationship that is brick-and-mortar. There is very low overhead for us to build these relationships. That’s the beauty of them. We can create jewelry that sits on our shelf in our distribution center in North Carolina and we can share the listings of those goods with Stein Mart. We can share the listing of those goods with Walmart. We can share the listing of those goods with Amazon and our own dotcom site, although we do some segmenting to make sure that each of them have some uniqueness in the curation of goods that they have, but the beauty is we have very low overhead, we don’t have to carry hundreds of goods in order to serve these customers, it sits on the shelf in North Carolina. We have an integration with their dotcom platforms that allows us to have round-trip transactions of orders. So when orders get placed in their shopping carts and they are paid for, those orders come directly to us and we fulfill them from North Carolina. We ship directly to the customer. That’s what’s called drop-ship. And so, it gives us a chance to put Charles & Colvard goods in a Charles & Colvard box and to have an open-the-box experience with our brochureware and all of our messaging, so we can really control the experience with the brand. So ultimately, the cost of getting up and running is minimal because it simply requires a connection with their e-commerce platform, which we’ve become very adept at doing and to hold a modicum of inventory on the shelf here that’s available to ship. The one thing we have to remember is that we need to ship lickety-split when these goods are ordered because these consumers expect that they do, when you buy goods on Amazon, that within two days it’s going to be sitting on your doorstep. So we do keep a minimal amount of those goods on the shelf, but again we can share it with multiple marketplaces across the industry. That answers your question, John. And did you have any?
John Lawrence: And just a little bit of the history of this development, if you could give us that please?
Suzanne Miglucci: Sure. Well, with Walmart, we started out with what’s called a 3P relationship. So, they are pretty open to having just about anyone come in, you have to kind of hit some minimum standards, but come in and try out your products on your website and they’re happy to take a portion of the sale for you getting out there and being a retailer on your dotcom site. But when they see promise, when they see sell-through, when they see consumers engaging, when they see people talking about the product on your web pages, and on blog post and so on, they take note and then a percentage of those retailers are then invited to the party to be a 1P or first-party relationship and that was the segue of the relationship with Walmart. So we’ve been with them a lot of years, and we moved across to this 1P relationship. Stein Mart is a little bit different. Stein Mart have begun to get a little bit more into the luxury space. They have a very high sort of income households that are their typical customers. They started a program with some very high-end, what they call gently loved goods that they serve in some of their stores and online, and it’s doing incredibly well for them. So they’re leaning in a bit on these luxury goods and they believe that moissanite actually fills a very white space that they have for this luxury consumer. And so, they are very interested in trying it out on the website to see how it performs.
John Lawrence: Good. Thanks. Good luck.
Suzanne Miglucci: Thank you so much John.
Operator: The next question comes from Eric Landry with BML Capital. Please go ahead.
Eric Landry: Hi, thanks. Is there anything you could add to what happened with that traditional customer that had an inventory hiccup which caused revenue to shrink?
Suzanne Miglucci: Yes, Clint, you want to answer that?
Clint Pete: Yes. Eric, as we mentioned, it was a primary contributor to the impact in the quarter and compared to the year ago quarter. As we stated in the calls, this one-time shift in our inventory in their inventory holdings caused purchases to slow down which now we’ve seen they resume back to those normal levels. We don’t give much more on customer specifics, but that’s basically what happen as to sort of the inventory rebalancing that they had with all the vendors, not just us.
Suzanne Miglucci: Right. I will add some color to that, Eric. As we understand it, they simply wanted to hold less inventory and so they decided to sell through a bit more and have less overall inventory on the shelf and do a little bit more of a just-in-time purchases as needed in order to meet business needs like all of us. We are trying to carry the least amount of inventory in order to closely manage our business and that was the hiccup that we experienced with them. But as Clint noted, we’re back to typical order volumes and back on track.
Eric Landry: So I mean if, let’s say, if you net this particular customer out, is there anything you could say about what revenue growth would have been ex this particular customer?
Suzanne Miglucci: Yes, we don’t talk specifics on Eric on customers I would surmise this one what might be pretty easy to model out. We have we saw a fairly significant dip in traditional, but traditional has been growing very steadily quarter-over-quarter and it’s pretty trackable and this is the one of the very major contributors to this mess, I think you could probably model that, that’s about as much as we can say.
Eric Landry: Got it. So traditional doesn’t change much quarter-to-quarter, you are saying?
Suzanne Miglucci: It has a very predictable growth trajectory as is online, the good news is that the online growth trajectory is a meaningful one and I would say if you’re interested in modeling how this business is going to perform going forward, especially as we get into our very important holiday season, the performance that we’re measuring in online channels is the one that I think I had you focus on.
Eric Landry: Okay. Has anything changed with the Helzberg relationship?
Suzanne Miglucci: Helzberg is going incredibly well for us. In fact, as we talked about the sort of the 102% growth here in brick and mortar, that big contribution to that is our relationship with Helzberg. We constantly work with them on curating their assortments, there are stuff that sells, there are stuff that doesn’t, we move it in and out, next-week we’re participating in their leadership conference to talk with their stores about how to best position the product. We’ve really been invited to the table, and we really value this relationship. It’s a great way for the consumer to see the product. So they really, if you are a consumer that needs to touch and feel and look at the beauty of this product, we’re thrilled that we are in nearly all Helzberg doors. So, it’s in very good shape.
Eric Landry: Okay. And I just wanted to clarify you said brick-and-mortar grew by 102%?
Suzanne Miglucci: Yes over the same quarter last year.
Eric Landry: Okay. Does Helzberg carry roughly the same amount of SKUs as it has in the past or is the number of SKUs increasing or is there a plan to increase the SKUs there?
Suzanne Miglucci: So, we can talk futures with them and we will certainly will expose any of that as it comes to light, but we do modify that inventory, I will say that we started out very conservatively in over the course of the relationship to where we are today, it certainly has it has grown. But any future growth we’ll talk about it at the time that, that happens.
Eric Landry: Got it, okay. And then lastly can I ask one more or is there someone waiting?
Suzanne Miglucci: No, you go right ahead.
Eric Landry: Okay, thanks. I noticed that the legacy inventory is down to 30% of total is there a goal for future levels other than just lower? I mean is this something that we can kind of continuing to drop at a rapid rate?
Clint Pete: Eric, yes, that’s our strategic initiative right now, it’s about $9.5 million we want to convert that to cash, but we want to do it while doing it at a profit and continue to draw that down, I mean, our goal would be to get rid of it all at some stage, as now that we’re in the premium, now that we’re in the that we’re getting from Cree, that premium Forever One product, which is all a great product, it is and the clarity, the color, the color that’s being, that’s what we want all our inventory to be at, but we do need to, our goal is to get it down as soon as we can.
Suzanne Miglucci: So eventually, Eric, the goal is to have it gone. We had an engineering breakthrough in the 2015 timeframe where for all the years in our history of building the product, we changed the formula and the way that we grow the crystals and stack silicon carbide and that’s what created Forever One, and in fact, that’s also what now supports the new product Moissanite by. And it kind of has this beautiful total colorless or very slight Hue that has a bit of a blue color to it, it’s absolutely stunning. Everything before that we call legacy is from the previously engineered product, and so it has a little bit of a yellow to grey hue to it, it has some warm tones. We find that the consumer responds really positively to the newer engineered material and so the intent is that going forward, we want to focus on those products and so we want to sell out the legacy, which is really why we have lower overall margins in this quarter two and the transition period, we have been aggressively trying to pull down this inventory. And what we are also finding is, as we do that, we wind up with what we call broken categories. So we find that rounds are very popular shape in gemstones, but as you sell through all the rounds, you might wind up with one or two in a particular size and it’s hard for us at wholesale anyway through distribution channels to sell these off. And so we’re now back filling that with Moissanite by Charles & Colvard, because we now have this new product that we can fill back into that category. In fact, we believe that we had some competition coming in and nipping at our heels in that low end of the market, because we were getting a little bit low on that low end material. So we are thrilled that Moissanite by Charles & Colvard is now here for us to sort of regain share of that price point market, but we still do need to sell through the legacy goods and thankfully that’s why we have the eBays and some of these marketplaces that are more value tuned and so the intent is that we sort of load up these legacy products in jewelry and then we sell the jewelry on marketplaces. That takes a little bit more time. So, there is building the goods, it takes a couple of months, we get it on the website, we sell it through, but we have got an engine now to do that. So, we are cranking away and slogging our way through this legacy product, so that we can then backfill it with Moissanite by and with Forever One and we are off to the races.
Eric Landry: Okay, thank you.
Suzanne Miglucci: You are very welcome. Gary, anyone else in the queue?
Operator: Not at this time. [Operator Instructions] Our next question comes from Rodney Baber with Paulson Investment Company. Please go ahead.
Rodney Baber: Hey, Suzanne. I thought you are going to dive through this, right.
Suzanne Miglucci: Hey, Rodney.
Rodney Baber: Couple of things. There is so many moving parts on this that some possible from the time the numbers come out till we start this call to really work through and have many specific, terrific questions to unpack what’s going on at the company. So I am going to ask you a philosophical question in a second, but they are up 102%, which is mostly got to be Helzberg makes a question, why aren’t we getting other major firms like Helzberg that are seeing what’s going on out there, come in and signing up and adding the concept out there on their own stores, why is that not developing or maybe what am I missing on that?
Suzanne Miglucci: It’s a great question, Rodney. So the good news is that we have a very nice case study in Helzberg to speak to other retailers about and we do have other retailers. I mean, you can find us in the greater Northeast in Boscov’s stores, for example. And by the way, we are also in hundreds of other mom-and-pop retail stores that receive their goods through our distribution partners. So there are hundreds of places across the country where you can buy Charles & Colvard goods. However, I will say this we are pretty judicious about which retailers we want to do business with, because there is an investment to be made. It goes all the way back to the question that John Lawrence asked about the Stein Mart and Walmart relationship. He said what’s the infrastructure and the inventory and the cost of getting running? When you are getting a retailer running, now the cost is that you have to produce goods and place them in all of their stores. And typically in jewelry, you have to do it on consignment. So, here we are, imagine this. We are creating for a store, we have maybe 25 goods in the case, so we need to have one or two backups we have 75 items that were sitting at a store. Each one is worth about $1,000 average order value. So, I have $75,000 worth of retail goods sitting in a store, but the impact that we can have on that store is probably 5 square miles. If I put that same $75,000 worth of goods on the shelf in my distribution center in North Carolina, it will sell within the day on all of my online channels. It will sell within the year in that retail store. So we are really carefully balancing which ones do we want to do? And so when a name like Helzberg comes along, it’s very attractive to do a relationship with, because it lifts it. And so as others come along we absolutely consider them but we are really, really careful about it, we do think there is a few others that could be a very nice fit and it’s something for us to consider as they arrive. We were at JCK trade show in June of this year and there was tremendous buzz and lots of talk about trends and so on, lots of talk from retailers, we are there every year and we are entertaining those conversations. Being very careful because if we can make crazy margins like we do on dotcom and we can hold all of our goods in our own distribution center in North Carolina, we think that’s a pretty smart model. So, that’s the balance that we are striking between a consignment world of retail and the online world of high margin.
Rodney Baber: Good answer. But let me move to something else. My original question was to come in about Walmart, Stein Mart and then John Lawrence preempted that with his own questions. What I was going to ask you is to help me understand what the perspective should be on those two companies especially Walmart, what’s the order of magnitude of sales increases when you go from, I think you called it Q3 to Q1, do you disclose what your Walmart online sales have been, what kind of numbers they have been providing us, I mean is that something you talk about?
Suzanne Miglucci: Yes, we don’t Rodney. So, we kind of blend it together with our overall online channels segment. So, it’s all well rolled up in there, but I think Clint sort of discussed a little bit earlier the incredible growth that we had with marketplaces, you wanted to touch a little bit more on those numbers?
Clint Pete: Sure, sure. I mean from a standpoint of marketplaces, we saw a pretty hefty increase, Rodney this past quarter related to the prior period. I mean as I think Suzanne mentioned it earlier, we saw net sales traction of about a 182% growth in that overall marketplaces and that’s where the Walmarts are like so we don’t disclose customer specifics as far as revenues, but that’s where you are going to watch out for that number going forward.
Suzanne Miglucci: And let me put this perspective on it too. I am going to remind you how we began with Helzberg. We began online and we did a terrific job of knocking it out of the park to create sell-through of our goods on helzberg.com. As we are entering new relationship with new retailers, it’s really a test bed for us. If we are doing incredibly well on any one of these retailers’ websites, why would they not consider potentially putting us in store and in the meantime as we are testing the relationship we can determine do we like each other? Do we want to dance further and have a deeper relationship? Do you have a consumer Mr. Retailer that is the right consumer for our moissanite product and vice-versa? Can we help you with the right curation of goods? So, it’s a great place for us to test each other out that is again very low overhead for Charles & Colvard, but each and every one of these is a potential additional expanded relationship like we have done with Helzberg now that we are in all of their doors. So I would if I were on the other side of the phone consider these great opportunities and door-openers and because we know how to do e-commerce so well, there is a very high likelihood that we are going to knock all of these out of the park.
Rodney Baber: Alright. I am going to give you your philosophical question. Okay?
Suzanne Miglucci: Well, I thought I already had that one, but go ahead.
Rodney Baber: No, those were more specific. This one is as a long-term stockholder, I am curious every quarter about what’s going to come out and the transition that we are in and we are morphing the business from what it was to what it will be, but we are still dealing with basically flat numbers. They go back many, many quarters and I know you guys have really good things to discuss, but the question is this, the couple of things that are really working that we will look back on down the road that will have changed this company into being much bigger and much more successful that you just highlight for us, just again refresh our memories, but then the other thing, it seems like every quarter there is something that slips in and kills like this inventory issue and all of that kind of stuff. And those are kind of one-off items, but what are the couple of things that are just driving you crazy, that you are not getting traction with that keeps these numbers flat? I mean there seems like, the rat is going to go through the snake at some point and come out the other side and we are all going to be smiling, because you will have gotten – we would be going to the next level. We have been at $25 million for 10 quarters now more or less. And the question in there, I love your updates on this, but this has to be frustrating for the team as well as all of us as stockholders that we continue to look at the same numbers and when or will that ever that kind of thing, so anyway…
Suzanne Miglucci: Yes, it’s a good question, Rodney. And I will tell you what we talk about it everyday. I think if I were to share one of the frustrating items, it would be one of the questions I think that Eric asked about this legacy inventory. We have got a fair amount of it and so it takes time right and effort, but we need to draw it down in order to fill our shelves with the newer and upgraded material. It just takes a while. Just because we are in those broken category that will have to one big buyer come along and take the whole lot, but it’s not crafted in such a way that somebody can make hundreds of jewelry pieces consistently out of the stones that we have. So, we have to mount it in jewelry and we have to sell it on marketplaces. The good news is we have a disposition strategy that’s very strong and its working. It’s just a long tale and it’s going to take some time. The good news is that in the process of standing up this omni-channel strategy, we have created what we believe is the infrastructure needed for the growth and we have learned out of the U.S. in the last 2 years now, especially on Amazon, but some eBay and other marketplaces that we have been working on, we have learned how to use marketplaces as a way to go and disposition goods and now that we have sort of burned it in, we have understood it. We can lift this model and we can take it globally. So the trick for us is to take now this learning on Amazon and how can we take this somewhere else in the rest of the market, how can we take learnings on Amazon and take it to other English speaking countries in order to sell our goods in a new place, because we have learned all the ins and outs and pitfalls of doing Amazon that now we can actually take this to other places without a whole lot of fanfare, without a whole lot of additional effort and lifting because the infrastructure is built. Now we can turn on another Amazon and we can actually go and we can execute in another country. The learnings are done, the infrastructure is here, we have done the hard work and so now we can not only disposition the legacy goods, but bring that new product to net new market and it doesn’t cost a whole lot of money or overhead, we can still ship from North Carolina, it’s just a matter of listings in a new country. We think of it as market research. And so for us it’s a way to dip a toe somewhere and say, hey out there, is there a moissanite customer here in the UK, let’s figure that out and do we have a presence there? So philosophically, that’s what it is we have going. So, I think that’s all the time we have for today. That was the last of the calls, Gary that we had in the queue, is that correct?
Operator: That’s correct.
Suzanne Miglucci: Okay. So let me just pass along some closing remarks here then. Once again, we would like to thank everyone for taking the time to participate in our call today. With expanding retail interest, new online channel partners and industry validation for lab-created gemstones, we believe Charles & Colvard has an exciting opportunity in fiscal 2019. We appreciate your time, your interest and your investment in Charles & Colvard. We look forward to being in touch and to updating you on our continued progress. Thank you and good evening.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.